Operator: Good afternoon, ladies and gentlemen, and welcome to the SKECHERS USA, Incorporated Fourth Quarter 2007 Earnings Conference Call. (Operator Instructions) I would now like to turn the conference over to Andrew Greenebaum of ICR.
Andrew Greenebaum: Good afternoon, and thank you, everyone, for attending SKECHERS’ fourth quarter and year-end 2007 results conference call. I will now read the Safe Harbor statement. Certain statements contained herein, including without limitation, statements addressing the beliefs, plans, objectives, estimates or expectations of the company or future results or events may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, as amended. Such forward-looking statements involve known and unknown risks, including but are not limited to, the general economic and business conditions and conditions in the retail industry. There can be no assurance that the actual future results performance expressed or implied by such forward-looking statements will occur. Users of forward-looking statements are encouraged to review the company’s latest annual report on Form 10-K, its filings on Form 10-Q, management’s discussion and analysis in the company’s latest annual report to stockholders, the company’s filings on Form 8-K, and other Federal Securities law filings for a description of the other important factors that may affect the company’s business, results of operations and financial conditions. With that I would like to turn the call over to SKECHERS’ Chief Operating Officer, David Weinberg.
David Weinberg: Thank you, Andrew. Good afternoon and thank you for joining us today to review SKECHERS’ fourth quarter and fiscal 2007 year-end results. As always, we’ll open the call to questions following our prepared comments. Year-end 2007 net sales were $1.394 billion, an increase of 15.7% over last year and a new record for annual revenues. Fourth quarter 2007 sales totaled $302 million, which is essentially flat versus fourth quarter 2006. Net income for 2007 was $75.7 million versus net income of $71 million in 2006, a 6.6% improvement over last year. Net income for the fourth quarter of 2007 was $12.1 million versus net income of $14.6 million in the fourth quarter of 2006. Diluted net earnings per share were $1.63 for the full year and $0.26 for the fourth quarter of 2007. 2007 was comprised of three record quarters, and one quarter, the fourth quarter, though strong, was not a record. When we reported our 2007 third quarter numbers and gave guidance for fourth quarter 2007, we stated that we expected our Q4 ‘07 sales to be relatively flat with Q4 ‘06 and noted several factors that were impacting sales. These included the soft retail environment as well as the closing of several under-performing brands. We also noted that we were up against a particularly strong fourth quarter in 2006, one that benefited from our catching up on an under-inventoried position from earlier in 2006. Our record 2007 annual sales are the results of: High double-digit sales growth in our international subsidiary and distributor business; Double-digit sales growth in both our domestic and international SKECHERS retail division, with a net increase of 36 stores for the year; Sales growth in our domestic wholesale division; Double-digit growth in our e-commerce division; Double-digit improvements in most of our street and fashion lines, including triple-digit growth in several lines; And the successful introduction of Cali Gear by SKECHERS and Zoo York for women. Key achievements in the fourth quarter include quarterly sales over $300 million, led by strong double-digit increases in our international wholesale business; backlog up over 29% at year-end; an even further improved balance sheet with over $304 million in cash and short-term investments representing $6.50 a share; and current and on-plan inventory in line with our sales and backlog growth, as well as to support our new divisions and retail store growth. We are pleased with our financial results and strong liquidity, having more than $6.50 per share in cash as well as our position in the global footwear marketplace at the close of 2007. We also believe our growth will continue in 2008 based on our key indicators, including double-digit backlog and very positive responses to our product during our extended January and February prelines with our major retail accounts. Now, I would like to expand on our 2007 achievements in our three operating segments, domestic wholesale, international, and retail. Domestic wholesale improved 7.5% for the full year, but decreased by 16% for the fourth quarter. It is important to note that as I mentioned, we were up against a particularly strong fourth quarter 2006, one that saw an increase in domestic wholesale of 48%. In addition, the decrease in sales for Q4 is also attributable to the soft retail environment in the fourth quarter as well as the closing of some under-performing fashion brands. Due to the retail environment we’re seeing accounts booking closer to season and have seen a shift of sales in the fourth quarter to the early part of the first quarter. This has also resulted in strong double-digit backlog, which have improved even though we no longer have several brands. Fourth quarter 2007 sales were positively impacted on the SKECHERS side by the new Cali Gear by SKECHERS line of nano lite molded footwear and the growth of SKECHERS Work. For the fashion brands, the development of the Red by Marc Ecko line, a more sophisticated version of Rhino Red, and the addition of Zoo York footwear for women positively impacted fourth quarter sales. Full-year 2007 sales were not only positively impacted by these SKECHERS and fashion lines, but also by the growth of key SKECHERS lines for men, women and kids, and the already-established Unlimited by Marc Ecko, Rhino Red and Zoo York men’s lines. We’re pleased with the shelf space we’ve achieved with many of our retail accounts and think that our visual merchandising program has helped to draw attention to our products on the floor. This is particularly true with Cali Gear by SKECHERS, which has dedicated end caps and wall displays with key accounts and our fashion brands that are displayed with branded towers. We continued to support our brands with advertising and marketing in the fourth quarter. Historically the quarter is not a heavy advertising period for SKECHERS, but we maintained our presence in select magazines and on TV while decreasing our advertising spend over Q4 ‘06. This was in part due to the closing of several brands. Our focus now is on powering up our advertising with new TV campaigns, 21 in total, that span our many brands as well as print and outdoor advertising. Now, moving on to international. International wholesale improved by 42% for the fourth quarter, and 46% for the year, which we believe is indicative of the continued strength of SKECHERS and the opportunities available to the company on a global basis to continue to gain market share. Our subsidiary sales, which for the fourth quarter included Canada, Brazil, Malaysia and twelve countries in Europe, improved by 70% for the quarter and over 53% for the year. The improvements for the quarter came across nearly every one of our direct regions, including Italy and France, the areas we have been addressing our product and distribution. Two areas, Spain and the Benelux region, had triple-digit growth, while our three largest subsidiaries, the UK, Canada, and Germany, had double-digit growth. The improvements in these regions were due to a combination of strong sales in existing SKECHERS lines, the addition of Cali Gear by SKECHERS and our Marc Ecko and Zoo York line, which in most areas just began shipping at the end of 2006 and the beginning of 2007. The increase in our subsidiary business is also due to the addition of two new subsidiaries; Brazil, which launched in the third quarter of 2007, and Malaysia, which transitioned from a distributor to a subsidiary earlier in the year. We believe Brazil has great potential and are encouraged by their first full quarter, and the recent trade show Coromoto where we had a 3,000 square foot booth. Our distributor sales improved by more than 30% for the quarter and nearly 38% for the year. As with our subsidiary business, the improved sales are the result of the continued growth of the SKECHERS men’s, women’s and kids lines, the growth of our Unlimited by Marc Ecko and Zoo York lines, and the addition of Cali Gear by SKECHERS, which was particularly strong in the fourth quarter in regions along and south of the equator. All the three distributors experienced sales growth in the quarter. One of the distributors that was down is located in Latin America, where a combination of political unrest and inventory issues negatively impacted sales. We’re focused on improving this. To support their SKECHERS businesses, many of our key distribution partners have opened SKECHERS retail stores in regions where they sell our footwear. At year-end, 63 SKECHERS retail stores were opened in 23 countries from 16 of our distribution partners. New stores opened in the quarter include our first two in Scandinavia, the second in the Baltic, Peru and Saudi Arabia and the tenth in Chile. One store was opened this quarter in Venezuela as well. We believe there’s great growth potential for SKECHERS, Marc Ecko footwear and Zoo York around the world, and based on our backlog, believe that we’ll continue to see improvements. We’re also looking forward to the relaunch this quarter of our footwear in Korea, where we have a new distributor, and with our joint venture in China, an area we see as having tremendous potential with over 1.3 billion people. We expect these two regions will begin to impact sales later in the year. In regards to retail, our combined domestic and international retail sales are up 12% for the fourth quarter and over 18% for the full year. The improved annual sales are due to a combination of cost increases and a net 36 store increase from the prior year to a total of 191 domestic and international company-owned retail stores. Domestic retail sales increased 12% from the fourth quarter of 2006 and over 17% for the full year, making the eighteenth consecutive quarter of double-digit year-over-year sales increases in our domestic retail division. At the close of the quarter, we had 176 company-owned and operated retail stores in the United States. Thirteen SKECHERS stores were opened in the fourth quarter, including eight concept stores, one at Las Vegas Town Center. We also opened outlets at Philadelphia Premium Outlets and Sun Valley Factory Shops in El Paso. International retail sales improved almost 12% from the fourth quarter of 2006 and 20% for the full year. The positive international sales were a result of improvements in each region except Germany, which was impacted by the closing of our Frankfurt store in January 2007, and the addition of three stores in Malaysia and Thailand, which transitioned into company-owned stores when we took over the distribution of our brands in the region. We currently have fifteen company-owned and operated international SKECHERS stores, including nine in Europe, three in Canada, and three in Asia. We’re pleased with the strong sales in our stores and believe this is in a direct response to the growing awareness and acceptance of our brand in these regions. We plan to continue to strategically grow our retail business in 2008 with the addition of 25 to 30 SKECHERS domestic stores and pursue opportunistic international retail locations. Now, I’d like to turn the call over to Fred.
Frederick H. Schneider: Thank you, David. Turning to our fourth quarter and year-end 2007 numbers in detail, as previously mentioned, fourth quarter sales were $302 million, which is essentially flat versus fourth quarter of 2006. For the year, sales grew over 15%. We experienced double-digit sales growth in international wholesale and retail and high-single digit growth in domestic wholesale. For the year ended December 31, 2007, net sales were $1.394 billion versus net sales $1.205 billion for the prior year, an increase of 15.7%. Fourth quarter gross margin was 42.1% compared to last year’s gross margin of 42%. Fourth quarter gross profit was $127.3 million versus $127.9 million in the same period a year ago. Gross profit for the year was $600 million compared to $523.3 million in the prior year and gross margin for the year was 43% in 2007 compared to 43.4% for 2006. Total operating expenses for the fourth quarter were $110.9 million or 36.7% of sales compared to $105.8 million or 34.7% of sales in the fourth quarter of 2006. For the full year 2007, operating expenses were $491.2 million or 35.2% of sales compared to $414.9 million or 34.4% of sales in 2006. Fourth quarter selling expenses decreased to $21.1 million or 7% of sales compared to $22.9 million or 7.5% of sales in the fourth quarter of 2006. The decrease in selling expenses is primary due to having fewer brands, which resulted in lower advertising and promotional expenses, as well as a decrease in samples. For the full year 2007, selling expenses were $126.5 million or 9.1% of sales compared to $109.9 million or 9.1% of sales in 2006. General and administrative expenses were $89.8 million compared to $82.8 million for the fourth quarter last year. Our general and administrative costs were up on a percentage basis from 29.7% of sales for the fourth quarter compared to 27.2% in last year’s fourth quarter. This increase is primarily due to higher rent and increased depreciation expense associated with our retail store growth, increased salary, wages, and employee benefits and greater warehousing and distribution costs. Total G&A expense was $364.7 million or 26.2% of sales for the full year 2007 compared to $305 million or 25.3% in 2006. Net earnings for the fourth quarter were $12.1 million compared to $14.6 million in the prior year period. Diluted earnings per share were $0.26 on approximately 46.6 million shares outstanding compared to earnings per share of $0.33 on approximately 46.6 million shares outstanding in the fourth quarter of last year. Our balance sheet continues to remain very strong. At December 31, 2007, cash and short-term investments on the balance sheet stood at $304 million. Trade accounts receivable at year-end were $167.4 million and our DSOs at the end of December of 2007 were 45 days versus 47 days at December 31, 2006. Inventory at year-end 2007 was $204.2 million representing an increase of $3.3 million from year-end 2006, which we believe is appropriate given our backlogs, retail store growth, and strength of our business. Working capital rose 16.2% to $523.9 million at year-end versus $450.8 million at December 31, 2006. Long-term debt was $16.5 million, the majority of this was related to mortgages on certain real estate. Shareholders equity at year-end increased 39.5% to $626.7 million versus $449.1 million at year-end 2006, due primarily to our net earnings and the conversion of our convertible subordinated notes during the first quarter of 2007. Capital expenditures for the year-ended December 31, 2007 were approximately $31 million, of which $24.1 million relates to new store openings, store remodels, warehouse equipment upgrades and information technology hardware. We expect our capital expenditures in 2008, excluding our new distribution center, which is being built this year, to be approximately $25 million, which includes the opening of 25 to 30 new stores and store remodels. And now I’ll turn it back to David for guidance.
David Weinberg: We currently expect first quarter 2008 sales to be between $385 million and $395 million, and earnings per share of $0.57 to $0.62 on approximately 46.6 million shares outstanding, assuming an effective tax rate of approximately 36%. As I mentioned, we believe the broad based strength and momentum we experienced in 2007 with our many brands and many initiatives, both domestically and internationally, will continue in 2008. We just finished an extended five weeks of preline meetings and the additional FFANY show earlier this month, as well as Bread & Butter in Barcelona and Coromoto in Brazil. We’re encouraged by the strong reaction to our back-to-school product and the orders booked at the trade shows, and believe the double-digit backlog, which does not have the benefit of the lines that we’ve discontinued, are positive indicators for our performance this year. Embedded in our guidance is the assumption that there is no further deterioration in the retail environment. We are also now preparing for SKECHERS first sales conference for our China joint venture, where our first shipments of product have arrived. We believe China as well as Brazil have tremendous potential with populations exceeding 1.3 billion and 185 million respectively. We believe both of these countries will begin to positively impact our sales towards the end of 2008. We’re also looking forward to building our Cali Gear by SKECHERS business worldwide and further growing our already global SKECHERS and fashion lines. With the launch of our licensed BEBE Sport Footwear in the second quarter combined with BEBE’s great reputation and Eva Longoria as the face of the brand, we expect strong sales of these fashionable sneakers and sandals. While we’re not immune to the current retail and economic environments and are carefully planning our worldwide business, we believe our brands will remain strong in the domestic market and we will continue to experience growth around the world. We’re focused on growing our brands and seeking out new opportunities, further building our own retail store base with an addition of 25 to 30 stores in 2008, improving our wholesale distribution around the world and profitably growing our business. And now I’d like to turn the call over to the operator to begin the question and answer portion of the conference call. 
Operator: Our first question comes from Chris Svezia - Susquehanna Financial Group.
Chris Svezia - Susquehanna Financial Group: David, can you just give us an idea of the backlog level between international and domestic wholesale and give us any idea about how much the shift between Q4 and Q1 contributed to 29% increase?
David Weinberg: It’s a big piece. Obviously, the backlog is up more as a percentage basis in international than it is in domestic. But it is still up double-digits in domestic, and I think a piece of that certainly is based on a shift to try to take product closer and not take it at the end of the year.
Chris Svezia - Susquehanna Financial Group: Okay. So, most of the shift is clearly domestic, not necessarily international at all?
David Weinberg: That’s probably true. Q4 is always a short quarter, but our domestic backlogs are up almost 20%, and I don’t know if it’s a big piece, but certainly a significant piece, is stuff that could have shipped in Q4 that shipped in Q1. Just to clarify, we actually had a very good January shipping life as bad as retail was, and we ended up with a bigger percentage gain than we anticipate having for the quarter, and that also speaks to a shift into early January from December.
Chris Svezia - Susquehanna Financial Group: Can you give us any idea as you look beyond the backlog numbers you are seeing right now, going into the second quarter, maybe late second quarter, what are you seeing beyond spring shipments and what are domestic retailers telling you in terms of backlog? How’s that shaping out?
David Weinberg: We haven’t heard anybody tell us their planning us down certainly, even domestically, given the environment, so I think that’s a positive. Most of our customers had very positive comments on the prelines and the product that was offered; seem to have inventories, at least at the times we had the prelines, pretty much in shape. So we don’t anticipate anything dramatic changing other than continuing to grow into second and third quarter, going into back-to-school, but the key parts of retail for our product certainly is February and March, and I wouldn’t take anything to the bank until they are done.
Chris Svezia - Susquehanna Financial Group: Okay. Is it fair to say that you continue to grow within existing retail channels and also benefiting from additional square footage growth? Or has there been any change in terms of distribution on the domestic wholesale end of the business?
David Weinberg: No. We haven’t changed domestic wholesale significantly. We get a lot of door growth. The people that we do business and do well with seem to be growing and have increased door count and we’re certainly continuing to gain, I believe, shelf space in most of them, so we are getting a double hit, certainly just bound by the parameters of the retail environment as it is today.
Chris Svezia - Susquehanna Financial Group: Right. And then as you just switch to international, continues to grow pretty well for you. How sustainable is it in Europe? You continue to see nice growth there and obviously your distributorships as well. How sustainable is that growth and potentially could the international subsidiary businesses attain higher operating profits than your domestic wholesale business this year, given the growth?
David Weinberg: That’s a mouthful but I don’t know; is it operating margins on a percentage basis this year?
Chris Svezia - Susquehanna Financial Group: Yes.
David Weinberg: It will certainly depend on the growth. I think it is certainly possible. That would depend on what we invest in advertising, obviously in both places. We usually have slightly higher margins and have maintained higher gross margins in our subsidiary business simply because of the weakness of the dollar. So that, given the fact that that should remain fairly constant, or at least we plan for that right now, to remain fairly constant, we should get a bigger leveraging effect in international. Certainly our subsidiaries, because we don’t have any major changes to be done this year operationally, maybe towards next year we’ll have to increase some of our infrastructure certainly, but this year we don’t have anything major planned on the international base. So, it’s possible to see increases in operating leverage. So, it’s possible for them to obtain what we have in the United States but it’s close now.
Chris Svezia - Susquehanna Financial Group: And sustainability in terms of growth, whether it’s in the U.K., France, Germany, and in some of those key markets, is the growth still sustainable for the balance of the year given what you’ve achieved so far?
David Weinberg: Given the backlogs we have now, I would say it’s certainly sustainable in the near-term. You never know how long these things last, but we don’t see any slowdown. If anything, our backlogs at December 31 this year, for our subsidiary base have accelerated significantly from this time last year on a percentage basis; obviously even more so in real dollar or real local currency terms. We’re at a point now where we have significant increases in local currencies, it’s not all a dollar-denominated deal. So yes, as we see it now, and obviously, we’re selling in and we’ve got a lot of products. As sell-throughs continue to be logged in, I think it certainly is attainable through this year and into next year and after that, we’ll see.
Chris Svezia - Susquehanna Financial Group: Okay. That’s good. Then the last question I have is, can you just remind us as far as selling expense, I think you’ve talked in the past, you’ve had significant increases on the selling expense line. Can you just give us an idea of what you’re looking at in terms of marketing expenditures for 2008? I think in the past you’ve talked about potentially holding it to slight increases for ‘08. Are you still sticking to that rule of thumb at this point, as you see it?
David Weinberg: We haven’t changed any of our thought process yet. As you can see, our selling expenses were actually down in real dollar terms in Q4, and it’s anticipated currently, although things can change as the environment changes, that the real dollar spend for media, which is the biggest piece, will remain fairly constant, small changes, maybe, for 2008, certainly in Q1.
Chris Svezia - Susquehanna Financial Group: Thank you very much. Congratulations.
Operator: Our next question comes from Scott Krasik - CL King.
Scott Krasik - CL King: Real good job in a tough environment. A question on gross margin, you’ve talked a lot about the cost pressures coming out of Asia and your ability to pass those through, but maybe how do we think about gross margin as a whole throughout the year? Can you improve other parts of it to actually see some gross margin improvement in ‘08?
David Weinberg: I think the key to gross margin in ‘08 is mix, depending on where we grow, which gross margin divisions grow certainly. While there is price pressure in China, we haven’t seen any significant changes yet in our gross margin for our domestic lines, and obviously, we’ve seen some increases, because of the weakness of the dollar in those places where we sell in non-dollar-denominated currencies. So, right now, we don’t anticipate any significant changes in gross margin different than 2007, which was slightly down from 2006. We’re still modeling in the 42% to 43% gross margin range here and have seen nothing yet in January or bookings in February backlog that would change that right this minute.
Scott Krasik - CL King: Okay. And then on the retail side, what were the U.S. comps?
David Weinberg: For the fourth quarter, they were just relatively flat.
Scott Krasik - CL King: Okay. Now, you are going against some pretty tough comparisons now for the next few quarters. What are your thoughts on retail? You have really gotten your price points up there, are you going to look to maybe bring those back down or it’s really an aspirational thing?
David Weinberg: Oh, I don’t know that anybody ever called this an aspirational plan, but…
Scott Krasik - CL King: I think $80 for SKECHERS might be aspirational?
David Weinberg: It depends what it is and how it exists in the environment. We’re actually doing probably as well with those shoes as anything else. We have no real plan to take down any of our pricing. Like I said, the only shift would be, we may have some changes in average selling price based on what divisions change. We’ve had some very good success with Cali Gear. To the extent that’s equivalent to sandals, we won’t see it much, but if it’s a much bigger business or it becomes a bigger percentage than sandals were in the past, you might see some deterioration in average selling price, but it would certainly be a boon to gross margin percentage.
Scott Krasik - CL King: Okay. And then just lastly on tax rate, what’s the best tax rate to use in 2008?
David Weinberg: You didn’t believe me when I said 36%?
Scott Krasik - CL King: Oh, I’m sorry.
Frederick H. Schneider: The tax rate fluctuation is a direct relationship to the strength of international versus domestic business. As we look into ‘08, we would presume that our mix of international versus domestic, it doesn’t change significantly from here. If international continues to grow stronger than the domestic business, then we could see some improvement in that tax rate. At the moment, I would say that we’re sticking with about a 36, 37% tax rate. That’s an annual tax rate. So it’ll fluctuate quarter-to-quarter based upon our where we are (inaudible) forecast the year. But that’s what we still think is appropriate.
Operator: Our next question comes from Sam Poser - Sterne Agee.
Sam Poser - Sterne Agee: Can you walk through the units and average selling price differential for Q4 in the domestic wholesale?
David Weinberg: Do you mean what it changed to? I think it was down about $0.30 or $0.40 on average.
Sam Poser - Sterne Agee: The ASPs were down $0.30 to $0.40?
David Weinberg: Yes.
Sam Poser - Sterne Agee: And the units?
David Weinberg: The units were obviously down domestically. So the actual units out the door were down representing that 14% decrease in domestic wholesale.
Sam Poser - Sterne Agee: Can you give me the actual dollars for each group: retail, wholesale, and International − U.S.?
David Weinberg: The actual dollar shift?
Sam Poser - Sterne Agee: Dollars, yes. You give reports on the Q usually, but if you could do it would be great.
David Weinberg: I don’t think we usually do that. I don’t have the exact breakdown in real dollar terms here. But we’ll have it in the Q. I’ll tell you that of the $302 million, domestic wholesale was about $160 million. The balance was fairly evenly divided between international, international retail and direct mail.
Sam Poser - Sterne Agee: Okay. And I heard some talk recently that you might have some boost in your licensing revenue on the kids’ side later in the year due to some of the characters: Cool Breeze, Z Strap, Alaska, so on. Can you talk a little bit about that?
David Weinberg: We’ve developed the characters and we’re very happy with their performance and their identification through TV and there has been some conversation about licensing out those things for kids’ product. But it is very early in the process, while we do have hopes that something will happen by back-to-school. Nothing concrete, nor would I have a number to give you to model for that right this minute.
Sam Poser - Sterne Agee: That could be a nice little bonus, if it were.
David Weinberg: Anything you get from something you’ve already developed is bonus, I agree.
Sam Poser - Sterne Agee: And then another quick question. Do you keep track of your inventory on a LIFO or FIFO basis? 
David Weinberg: We’re on a FIFO basis.
Sam Poser - Sterne Agee: Thank you. Congratulations.
Operator: Our next question comes from Jay Sole - Morgan Stanley.
Jay Sole - Morgan Stanley : I just wanted to ask you about the DC. You talked in previous quarters and previous calls about still figuring out what the costs are going to be. Have you gotten to a point where you know what the costs are going to be?
David Weinberg: No. It’s ongoing. We’re still doing some significant studies on time and costs and labor costs as related to efficiencies that we could shift. I think just as a guideline number I would venture to guess right now, and it’s still plus or minus, maybe 10% or so, that it would be no less than 70, and probably no more than 90-plus, just for the material handling systems on it.
Jay Sole - Morgan Stanley : Okay. So, just going forward, there’s been some talk about there’s been delays and getting the project started. Do you think that might be something impacting start of the project or increasing costs over time?
David Weinberg: We have no increases in cost, simply because we’ve already signed a lease. So the building of the building or whatever the entitlement process adds to the cost of the building will certainly not be grounds to re-negotiate at least any major format, and the material handling system that we are going to put inside is certainly a big process that has nothing to do with building costs nor weather. As far as the delays, there’s been some articles in the paper, but we’re not behind any of our original plans. It was originally planned that the entitlement process would run until mid-to-end March. And my understanding of the speculation and conversations during the entitlement process, nothing has been put back or delayed because of that process as of right now.
Jay Sole - Morgan Stanley : Great. That’s really helpful. Let me ask you something different about sales. This is a bigger picture. Over the last couple of years, the low profile trend has definitely helped the SKECHERS brand. That seems to be tailing off a little bit, but obviously sales are still strong. What are the trends, what are the categories that maybe are the new categories that SKECHERS is riding to keep doing what you have been doing?
David Weinberg: I don’t think anything has changed from what we’ve showed everybody at FFANY. Obviously anything that comes along, like molded footwear, we’ve got a dressier men’s shoe, men’s categories are going; our sport business is coming back stronger. Men’s sport and women’s sport have shown increases both in backlog and for first quarter and beyond. So, I think it is safe to say that whatever is in the marketplace, all our brands and lines; Zoo York is certainly helping, that’s a skate shoe. So, it’s not certainly only one product or one look, but it spreads across many things, and we seem to be doing it pretty well. And we’re developing some new products that we’ll be showing as we get closer to show season as we enter the first quarter. And we’ll certainly show them to you when you come up in June to FFANY.
Operator: Our next question comes from Barry Pontiak - Rayburn Capital.
Barry Pontiak - Rayburn Capital : Nice quarter. I was wondering if you could be specific on the cost pressures from China, what you expect later on in ‘08, in terms of costs?
David Weinberg: It is early to tell. It depends on what we develop and move forward. I think right now, we’ve seen a little more cost pressure on the kids’ shoes than the adults and it is certainly nothing that we have that has impacted our own margins. And some of the categories we’ve had pricing power to pass it along in new product and some of the kids’ products. In some cases we’ve shared it, and absorbed some with both our suppliers and the factory base. So, as I said before, there are some pricing pressure, but nothing we think that will dramatically impact our gross margins for this year.
Barry Pontiak - Rayburn Capital : Okay. Are you raising prices, like new SKUs would be at higher price points and raising prices here and there? What do you expect to do in ‘08?
David Weinberg: Yes. It’s very specific. We don’t do anything across the board. Everything is specifically identified. So, where we’ve built up the shoes or we have more to offer or sell-throughs are doing very well, we have pricing power. Otherwise, we deal sometimes just on our size and larger production runs, and we do take inventory positions in the time where things are tough over there. So right now, we are doing a little bit of everything to keep everything in line.
Barry Pontiak - Rayburn Capital : And then just on Cali Gear, can you give any more color on how the rollout is going and also with U.S. versus international?
David Weinberg: U.S. and international are fairly equivalent now. Certainly in units, if you put it together, I think obviously domestic is still slightly larger, but we’ve had a lot of success internationally, and it is probably about half the units right now, as we speak. But in all cases, it’s just being sent out there. So, we’re waiting for retail sell-throughs, but it is doing well both domestic and internationally; probably higher as a percentage internationally because it is just such a bigger territory and such a new product that we’re involved with.
Barry Pontiak - Rayburn Capital : But, is it a little early to tell in terms of sell-through?
David Weinberg: Yes. Kind of early; it’s cold out and it is just being delivered and it is obviously a spring product to get there. And it is a big launch. Like we said in our prepared statement, in those places where it is warm around the world, by the equator and south, we’re getting good sell-throughs and certainly good results, but here and certainly in Western Europe, it is early. It is just at the beginning stages and we’re waiting for spring to break just like sandal season.
Operator: And this does conclude our question-and-answer-session. I’d like to turn the call back over to Mr. Greenebaum for the concluding remarks.
Andrew Greenebaum: Thanks again for joining us today on the call. I’d like to note that today’s call may have contained forward-looking statements. As a result of various risk factors, actual results could differ materially from those projected in such statements. These risk factors are detailed in SKECHERS’ filing with the SEC. Again, thank you and have a good day.